Operator: Good afternoon, ladies and gentlemen, and welcome to the Guild Holdings Company Third Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this call will be recorded. I would now like to turn the conference over to Michael Kim, Investor Relations. Please go ahead, Michael.
Michael Kim: Thank you, and good afternoon, everyone. Before we begin, I’d like to remind everyone that comments on this conference call may contain certain forward-looking statements regarding the company’s expected operating and financial performance for future periods. These statements are based on the company’s current expectations. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks or other factors that are described in greater detail under Risk Factors in Guild’s Form 10-K and 10-Q and other reports filed with the U.S. Securities and Exchange Commission. Additionally, today’s remarks will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP financial measures, where appropriate, to the corresponding GAAP measures can be found in today’s earnings release filed with the SEC as well as on Guild’s Investor Relations website. Participating in the call today are Chief Executive Officer, Mary Ann McGarry; President, Terry Schmidt; and Chief Financial Officer, Amber Kramer. Now, I’d like to turn the call over to Mary Ann McGarry. Mary Ann?
Mary Ann McGarry: Thank you, Michael. Good afternoon, everyone, and thank you for joining us. As I’ve done in prior calls, I wanted to start by recognizing all Guild employees for their continued dedication and hard work, their ambition, energy and determination drive our continued success. As always, I’m joined by our President, Terry Schmidt; and our Chief Financial Officer, Amber Kramer. Our Chief Operating Officer, David Neylan, will join us for Q&A after our prepared remarks. I’m extremely pleased with our strong results for the third quarter. Key financial highlights included $10 billion of total funded originations, up 23% from the $8.2 billion in the second quarter and still strong gain on sale margins. Through the first 9 months of 2021, year-to-date volumes continued to track meaningfully ahead of 2020 levels, reinforcing the strength and sustainability of our differentiated platform. Turning to our financial results. We generated adjusted net income of $77 million and adjusted earnings per share of $1.27 for the quarter. We remain well positioned as the mix of mortgage volumes continues to shift away from refinances in favor of purchased loans. Refinancing volumes across the industry are typically more volatile and are mostly a function of cyclical interest rates and spreads. Moreover, the refinance business is largely commoditized. In contrast, we compete on service and expertise at the local level, which has driven more consistent growth for Guild across market cycles. Our differentiated purchase-focused business model separates us from the other lenders by providing a personalized and individualized experience to homebuyers. In fact, purchase loans accounted for 61% of our mortgage volumes in the third quarter compared to just 47% for the industry, according to the Mortgage Bankers Association. And our market share, within purchase lending, increased in the third quarter of this year compared to the fourth quarter of 2020 according to data from CoreLogic. Focusing within the purchase channel. We believe we are well positioned to continue to capture market share given our well-recognized brand, proprietary technology platform and long-standing relationships with existing clients. Clients return to us and refer Guild to others year after year, which drives durable volumes and consistent returns across market cycles. And our recently closed acquisition of Residential Mortgage Services, or RMS, further enhances our purchase platform and geographic footprint. The next generation continues to want to buy homes, with growth in the numbers of young people reaching age 31, the average age when they change from renting to owning. We continue to be well positioned for this growing market because of our focus on first-time homebuyers and our growing number of loan officers and branches across the United States, with over 1,200 loan officers across 42 states after the RMS acquisition. Our loan officers in communities leverage their relationships across the network of realtors, builders and other partners to tap into a recurring stream of loans with 97% of our business in the retail channel. Finally, from a financial perspective, we have managed through all kinds of market cycles and consistently delivered strong returns. Through the first 3 quarters of 2021, we generated a 38.5% return on equity. So, with that, I’d like to turn it over to our President, Terry Schmidt. Terry?
Terry Schmidt: Thank you, Mary Ann. I wanted to discuss in greater depth how our balanced originations and servicing model differentiates Guild and positions us for long-term sustainable growth, both from a diversification perspective as well as by providing synergies across our business channels. Starting with our originations business. Volumes across the industry likely remain under pressure in the near term, reflecting changing mortgage rates and limited inventory. More favorably, as Mary Ann discussed, our purchase-focused approach positions us well with respect to long-term durable demographic trends and a constructive government agenda. Another key component of our business model is our scale-enabled servicing segment. Our underlying servicing portfolio consists primarily of MSRs originated through our retail channel. To that point, we retained servicing rights for 86% of total loans sold year-to-date through September, reinforcing that complementary nature of our 2 businesses. In addition, our servicing platform allows us to build long-standing client relationships that drive repeat and referral business back to our origination segment to capture our -- recapture our clients’ next mortgage transaction. During the 9 months ended September 30, 2021, we generated a 30% purchase recapture rate and a 63% refinance recapture rate compared to 26% and 66%, respectively, for the 9 months ended September 30, 2020. The 30% purchase recapture rate is a new record for Guild. We were able to achieve this by continuing to develop predictive analytics and pushing that information back to the originating loan officer to reconnect with their clients. This again speaks to the strength of our platform, local brand presence and strong relationships. We remain focused on increasingly leveraging our existing servicing client base as well as our proprietary technology to recapture more purchase business. In summary, we believe that maintaining both an origination segment and a servicing segment provides us with a more balanced model, and therefore, more sustainable earnings power across interest rate cycles. Assuming interest rates rise, our servicing business functions as a natural hedge to our origination segment, creating a longer duration of servicing cash flows, resulting in favorable valuation adjustments to our MSR assets. I’ll now turn the call over to our Chief Financial Officer, Amber Kramer, to discuss the financials in more detail. Amber?
Amber Kramer: Thank you, Terry. For the third quarter of 2021, we generated $10 billion of loan originations, consistent with the volume delivered in the year ago quarter. Net revenue totaled $413 million compared to $564 million in the third quarter of 2020 while net income totaled $72 million or $1.17 per diluted share. Year-over-year declines were mostly a function of lower gain on sales loans. Adjusted net income totaled $77 million or $1.27 per share for the third quarter while adjusted EBITDA totaled $108 million for the third quarter. Turning to year-to-date results. Total loan originations came in at $28 billion for the first 3 quarters of 2021, up 14% year-over-year. Net revenue totaled $1.2 billion, up 6% versus the first 3 quarters of 2020 while net income totaled $242 million or $3.99 per diluted share. And we generated $236 million of adjusted net income and $328 million of adjusted EBITDA for the 9 months ended September 30, 2021. Starting with our originations segment for the third quarter. Pull-through adjusted lock volume totaled $10.4 billion while we generated $10.0 billion of total funded originations. Based on closed loans, 61% of origination volume was purchased business, up 2% quarter-over-quarter and well above the Mortgage Bankers Association estimated average of 47%. Gain on sale margins on originations came in at 396 basis points for the quarter while the margin on pull-through adjusted lock volume was 381 basis points. Turning to our servicing business. Our unpaid principal balance grew 20% year-over-year to $68 billion as of September 30, 2021, with total loan servicing and other fees increasing by 25% year-over-year to $50 million for the third quarter of 2021. This segment recorded net income of $10 million for the quarter, a reversal from a loss of $12 million in the third quarter of 2020, reflecting higher fees, less negative MSR fair value adjustments and lower expenses primarily due to reductions in our foreclosure loss reserve in 2021 as more homeowners exited forbearance plans and avoided foreclosure. For the third quarter of 2021, the loss related to the fair value of our MSRs was $35.5 million compared to $41 million for the same quarter in 2020 due primarily to slower prepayment speeds. We remain focused on continuing to leverage our strong and liquid balance sheet to maximize long-term shareholder value. As of the end of the third quarter, we maintained $303 million of cash and cash equivalents, excluding funds used to pay down our warehouse lines as well as $3.6 billion of warehouse lines of credit with unused capacity of $1.7 billion. The sequential quarterly decline in our cash balance was largely a function of the $186 million upfront payment related to the RMS acquisition, which closed on July 1. Looking ahead, capital allocation priorities include funding originations and reinvesting in the business and a continued focus on growing shareholder value. In addition, we’ve built out our footprint through a series of complementary and highly accretive acquisition, and we remain focused on capitalizing on further opportunities that fit our strategic, geographic and financial criteria. In conjunction with the strong liquidity position, the Board of Directors of Guild declared a special cash dividend of $1 per share for its Class A and Class B common stock which will be paid on or about December 8, 2021, to the stockholders on record on November 22, 2021. To wrap up, I’d like to provide some perspective on gain on sale margins and intra-quarter origination volumes. Macro headwinds around interest rates and capacity constraints have eased to some degree as reflected by the relative stability of our gain on sale margin, which came in at 396 basis points for the third quarter compared to 405 basis points for the second quarter. It’s important to note, our gain on sale margins remain well above the industry, reflecting our differentiated retail distribution platform, purchase focus and disciplined pricing approach. And while our margins remain influenced by market demand and capacity trends, we aren’t motivated by short-term market share gains at the expense of unfavorable economics. We remain focused on generating sustainable growth over the long run. Turning to volumes for October. Our loan originations totaled $3.1 billion and total pull-through adjusted lock volume was approximately $3 billion. And with that, we’ll open up the call for questions. Operator?
Mary Ann McGarry: Before we jump to Q&A, I’d like to share an exciting announcement reported today. Guild Mortgage was ranked #1 by J.D. Power in overall customer satisfaction for originations. We are really pleased with the results of our performance. So now we’ll open it up for -- open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Trevor Cranston with JMP Securities.
Trevor Cranston: Congratulations on a strong quarter. A couple of questions related to the servicing portfolio. I guess, number one, do you guys have handy the prepayment speed on the portfolio in 3Q? And just generally, as you look forward over the next couple of quarters, can you provide any commentary on sort of how much room you think there is for speeds to come down further as refinancing presumably continues to burn up?
Amber Kramer: Sure. Thanks, Trevor, for your question. The prepayment speed on our portfolio in Q3 is at 14.2% on the CPR for MSRs. And so as -- obviously, as rates are going up, we’re going to continue to see that decline. Although it does -- should reach a somewhat of a steady state overall. And MBA has refinances dropping down 67% into next year. So that would impact it overall. I don’t know where the bottom is. And I don’t know, Terry, you’ve obviously been doing this for a long time. Do you know where we’ve been historically in a market like this through rate cycle changes?
Terry Schmidt: Yes, I would say that the lowest we’ve seen in the last several years is an 11% prepayment speed.
Mary Ann McGarry: Yes.
Trevor Cranston: Okay. Got you. That’s really helpful. And so one more thing on the servicing book. It looked like the percent of loans you retained servicing on this quarter dipped a little bit from where it had been. I was just curious if there’s any particular reason why the percentage of loans you retained servicing on dropped this quarter in particular.
Amber Kramer: Yes. Great question, Trevor. That’s really a function of the acquisition. They were selling 100% service release. So as we incorporate them into our numbers, it would bring ours down. If we looked at Guild specifically, we were still around 90%. And what we’re service releasing is still primarily jumbos and bonds, which -- both of which we’re seeing increased slightly and some nonowner occupied, but overall still at 90%. And we would expect as RMS funds on our platform that they will retain in the same percentage that we would.
Trevor Cranston: Okay. That makes a lot of sense. Got you. And then on the special dividend declaration. Can you share any thoughts or commentary around why the decision was made to pay out special dividends maybe as opposed to setting a regular quarterly? And also just any thoughts you guys had around why you felt like this was a good time to pay out a dividend as opposed to maybe retain capital in case any acquisition opportunities come along?
Amber Kramer: Well, as you can see by our cash position, we’re in a strong cash position. We review with the Board where we believe our cash will end up at the end of the year. Our priority is investing in the business, funding originations and any acquisition and originating opportunities, that’s always going to take priority. When we look at that and our cash balance, we felt that the special dividend makes sense as a return of capital to shareholders. And at this time, we’re not looking at doing any kind of recurring dividend. We’re always assessing what our needs are, short term and long term. And we’ll make decisions based on that and where the opportunities are, we definitely want to be poised for anything that comes up in terms of acquisitions and recruiting and make sure that we stay in a strong financial position to be able to capitalize on that.
Operator: Our next question comes from the line of Rick Shane with JP Morgan.
Rick Shane: I guess it’s MSR Day. First question is, of the 396 point -- call it, $397 million in revenue, how much of that cash being on sale? And how much of that was capitalization of MSRs that were sold?
Amber Kramer: So our loans that we added for MSRs was $82 million in noncash. So they’re coming on about 100 basis points right now.
Rick Shane: Got it. Okay. That’s pretty close to what I was getting. So when I look at the -- and were there any sales besides originated loans during the quarter?
Amber Kramer: No.
Rick Shane: Okay. So can we walk through the UPB? So UPB started the quarter at $65.7 billion. You had $10 billion of originations net after you retain 72%, you retained about $7.3 billion. That implies if you go from $65.7 billion to $68 billion in UPB, that there was -- payoff the amortization of about $7.7 billion or $7.8 billion. I guess my question is twofold. One, is the CPR you decided of 14%, would that be assumed CPR for valuing the MSR or the actual amortization during the quarter?
Amber Kramer: That was the CPR and the MSR model. And we would have run off. And then -- normal runoff in terms of refinances. And then if there’s payoffs or foreclosures, that will be included in there. I’d have to walk through the number. Overall, that seems a little high. And I’m not sure if it has to do with RMS and how they’re playing into that overall.
Mary Ann McGarry: We have loan prepayments of $5.5 billion and we sold $2.7 billion of service released. And it is assumed, yes, prepayment rate.
Amber Kramer: Yes.
Rick Shane: Got it. So what was the actual prepayment speed during the quarter?
Mary Ann McGarry: Amber, do you have that? If we don’t, we can always get back to you.
Amber Kramer: Yes, I’ll get that for you, Rick. Yes.
Mary Ann McGarry: Yes, we can get that for you. But it definitely was higher than 14%.
Rick Shane: Okay. Yes. I’m thinking it’s in the 30s, maybe. And again, I -- you’re using $5 billion of amortization. I’m getting a slightly different number, but I think -- is it likely in the 30s -- high 30s, low 40s?
Mary Ann McGarry: We’ll have to get that for you.
Operator: [Operator Instructions] Our next question comes from the line of Don Fandetti with Wells Fargo.
Don Fandetti: Amber, can you talk a little bit about gain on sale expectations for the fourth quarter? I know in the press release, there were some comments about competition. But can you sort of quantify what you’re seeing? And also, Q3 just came in a lot better. I know there was some concern last quarter from investors just in terms of the sort of guide. What changed? I mean, obviously, it’s good to see conservatism and numbers coming in better. But can you talk about what happened?
Amber Kramer: Yes. It did come in better than we expected in Q3, and there were some market fluctuations that were unexpected. We don’t provide guidance going forward. We still think that we’re going to get to 2019 levels of around the 380 basis points and starting to see that at the end of Q3 as well, if that provides any direction for you.
Don Fandetti: Okay. And so what was it that sort of came in so much better in the third quarter? Just trying to better understand how that moves that much. Is it just competitive dynamics?
Mary Ann McGarry: Well, rates didn’t rise as much as they were expected to. And there’s just -- the demand was strong. So didn’t seem to push the rates. It didn’t seem to push our gain on sale margin down, pricing.
Don Fandetti: Got it. Okay. Well, like I said, I mean, it’s great to see the estimates conservative. I was just curious what sort of drove it that time.
Operator: Our next question comes from the line of Rick Shane with JP Morgan.
Rick Shane: I owe you a clarification. I dialed into your $5 billion roughly amortization number, which gets to a 30% CPR. And since I sort of incorrectly walked through that logic on the call, I felt I owed everybody a clearer number.
Amber Kramer: Thank you, Rick.
Operator: At this time, we have reached the end of the question-and-answer session, and I’d like to turn the call back over to Mary Ann for any closing remarks.
Mary Ann McGarry: Well, thank you for joining us today, and have a great holiday season. Stay healthy. And we look forward to updating you on our next call. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you very much for joining. And have a great day.